Operator: Ladies and gentlemen, good afternoon. Welcome, everyone, to BlackRock TCP Capital Corp.’s Second Quarter 2023 Earnings Conference Call. Today’s conference call is being recorded for replay purposes. During the presentation, all participants will be in a listen-only mode. A question-and-answer session will follow the company’s formal remarks. [Operator Instructions] And now I would like to turn the call over to Katie McGlynn, Director of BlackRock TCP Capital Corp. Investor Relations team. Katie, please proceed.
Katie McGlynn: Thank you, Bailey. Before we begin, I’ll note that this conference call may contain forward-looking statements based on the estimates and assumptions of management at the time of such statements and are not guarantees of future performance. Forward-looking statements involve risks and uncertainties, and actual results could differ materially from those projected. Any forward-looking statements made on this call are made as of today and are subject to change without notice. Additionally, certain information discussed and presented may have been derived from third-party sources and has not been independently verified. Accordingly, we make no representation or warranty with respect to such information. Earlier today, we issued our earnings release for the second quarter ended June 30, 2023. We also posted a supplemental earnings presentation to our website at www.tcpcapital.com. To view the slide presentation, which we will refer to on today’s call, please click on the Investor Relations link and select Events and Presentations. These documents should be reviewed in conjunction with the company’s Form 10-Q, which was filed with the SEC earlier today. I will now turn the call over to our Chairman and CEO, Raj Vig.
Raj Vig: Thanks, Katie, and thank you all for joining us for TCP’s second quarter 2023 earnings call. I will begin with an overview of our second quarter results. I will then turn the call over to our President and Chief Operating Officer, Phil Tseng, who will provide an update on our portfolio and investment activity; and our CFO, Erik Cuellar, will then review our financial results as well as our capital and liquidity positioning in greater detail. I will conclude with a few closing remarks before we take your questions. Turning now to the highlights from the quarter. For the second quarter, TCPC delivered net investment income of $0.48 per share representing a 30% increase year-over-year and an approximate 15% annualized net investment income return on equity. Given the floating rate nature of our portfolio and a higher proportion of our liabilities at our fixed rate, our net investment income continues to benefit from strong underwriting in an environment of higher base rates as well as marginally wider spreads. Our run rate NII as of the end of the second quarter is among the highest in TCP’s history as a public company. Our Board of Directors today reaffirmed a third quarter dividend of $0.34 per share, which is reflective of the $0.02 dividend increase the Board has announced since the third quarter of last year – the $0.02 dividend increases since the Board has announced since the third quarter of last year. The third quarter dividend is payable on September 29 to shareholders of record on September 15. In addition, and as an acknowledgement of TCP’s strong earnings year-to-date, our Board also announced a $0.10 special dividend payable on September 29 to shareholders of record on September 15. This announcement is consistent with our disciplined approach to the dividend and our emphasis on stability and strong coverage from our recurring net investment income. As a reminder, throughout TCPC’s history, we have consistently and comfortably covered our dividends with recurring net investment income. Phil will discuss our second quarter investment activity in more detail, but in summary, transaction volumes remain muted in this uncertain environment, increasing the importance of our disciplined approach to deploying new capital. Consistent with our historical activity, we’ve reviewed a substantial number of transactions during the quarter and invested in only a small percentage of those opportunities. Given the slowdown in private equity deal volumes, we continue to be reminded of the benefits of our channel agnostic approach to deal sourcing. Because of our direct relationships with management teams and other industry participants, as well as our deep – our team’s deep experience investing across cycles and our ability to draw upon the power of the BlackRock platform, our pipeline continues to build and we are encouraged by the compelling opportunities we are identifying. Our underwriting continues to prove very effective with NAV declining a de minimis 0.5% during the quarter, but the unrealized losses being driven primarily by mark-to-market impact on quoted names. The credit quality of our portfolio remains solid, but loans suggest two portfolio companies are non-accrual as at the end of the second quarter totaling just 0.3% of total investments at fair value, a level that continues to be among the lowest non-accruing levels in TCPC’s history. Finally, while we do not have an explicit forward view on rates, we do believe we’ll be in a slower growth and elevated rate environment for the foreseeable future with a range of macroeconomic uncertainties. It is in complex periods like this that are our historical experience and deep industry knowledge are an advantage and have resulted in strong results throughout various market cycles. Looking back at our historical performance as a public company since 2012, we have generated a 10.3% annualized return on invested assets in a total annualized cash return of 9.5%, much of which we delivered wild base rates, which much – were much lower than they are today. We believe this performance remains at the high end of our peer group and reflects our ability to consistently identify attractive opportunities at premium yields and deliver exceptional returns for our shareholders across market cycles. Now, I will turn it over to Phil to discuss our investment activity and portfolio position. Phil?
Phil Tseng: Thanks, Raj. I’ll start with a few comments on the investment environment before providing an update on our portfolio and highlights from our investment activity during the second quarter. As Raj noted, economic uncertainty has driven a slowdown in market transaction volumes. Institutional leverage loan issuance and U.S. M&A volumes were both down more than 30% year-over-year in the second quarter. Despite the slowdown in market activity, our industry focused deal teams continue to proactively identify unique investment opportunities from a wide range of sources, including directly through industry contexts and management teams, as well as through our traditional sponsor relationships. However, we’re not immune to the year-to-date slowdown in market volumes. We remain disciplined and are passing on more opportunities, particularly when pricing does not appropriately reflect the current market conditions or when terms did not provide adequate lender protections. In the second quarter, TCPC invested $17 million, deployment of the quarter included loans to two new and two existing companies primarily in senior secured loans. In reviewing new opportunities, we emphasized transactions where we are positioned as a lender of influence, which enables us to leverage our two decades of experience in negotiating deal terms and conditions that we believe provide meaningful downside protection. We believe this has been a key factor in our low realized loss rates over our long-term track record. In addition, our industry specialization, which our borrowers value provides two key benefits. First, it bolsters our ability to assess and effectively mitigate risk in our underwriting and when negotiating terms in credit documentation. And second, it expands our deal sourcing capabilities and sponsors who value our industry experience, which lends itself to more reliable execution and also with non-sponsors like corporates and foundry-owned businesses who value an informed balance sheet partner. Follow on investments in existing holdings continue to be important sources of opportunity. 45% of total dollars deployed over the last 12 months were with existing portfolio companies. TCPC’s largest new investment during the second quarter was a senior secured first lien term loan to support the acquisition and carve out of Global Payments Gaming Solutions division, which has since been rebranded as a standalone business called Pavilion Payments. Pavilion is a payment services provider to the gaming sector providing a full suite of on-premise and online gaming payment solutions. We view this as an attractive business given strong positioning in an industry with high barriers to entry because of regulatory oversight and unique industry requirements. BlackRock participated as lead lender among a small group of lenders. New investments in the second quarter were offset by total dispositions of $32 million. We also continue to closely monitor our existing portfolio companies. Our team members are continuously engaged in dialogue with owners and operators to assess both current and projected performance relative to our original underwriting assumptions. Given the rate environment, higher input costs, and the general uncertainty in the economy, a few of our portfolio companies are navigating slower revenue growth and/or margin pressure. We’re working closely with the management teams and owners of these handful of companies in this position. However, we recently completed our quarterly review process and are pleased to report that their portfolio generally remains in good shape. Our emphasis is on companies with established business models and proven core customer bases that make them more resilient in times like this. At quarter end, our portfolio had a fair market value of approximately $1.6 billion. 88% of our investments were senior secure debt spread across a wide range of industries, providing portfolio diversity and minimizing concentration risk. We also continue to emphasize companies in less cyclical industries. The portfolio at quarter end consisted of investments in 143 companies and our average portfolio company investment was $11.5 million. As the chart on Slide 6 of the presentation illustrates, our recurring income is distributed broadly across our portfolio and is not reliant on income from any one company. In fact, more than 90% of our portfolio companies each contribute less than 2% to our recurring income. 86% of our debt investments are first lien providing substantial downside protection, and 94% of our investments are floating rate, clearly an important benefit in this higher rate environment. The overall effective yield in our portfolio increased to 13.8% compared with 9.8% one year ago, reflecting the benefit of higher base rates and wider spreads on new investments. Investments in new portfolio companies during the quarter had a weighted average effective yield of 14.1%, exceeding the 12.2% weighted average effective yield on exited positions. Given further pullback in commercial bank’s ability and willingness to lend in this environment, we’re continuing to benefit from a more lender friendly investment environment with improvements in both pricing and terms relative to 12 months ago. Post quarter end, we’ve seen a modest picked up in activity and have been investing selectively, maintaining our underwriting discipline while being mindful of the inflationary environment. We emphasize companies that have significant pricing power to pass on higher input costs, including increases in their cost of capital. It’s also important to note that we did not underwrite to perfection. We seek to build in sufficient buffers to ensure companies can withstand changes in the macro environment, including higher costs without impairing their ability to service our loan. Our pipeline is building and the yields on investments in our pipeline are generally in line with our current portfolio. To date, we have had no prepayment income in the third quarter. Let me now turn it over to Eric to walk through our financial results as well as our capital and liquidity positioning.
Erik Cuellar: Thank you, Phil. As Raj noted, our net investment income in the second quarter benefited from the increase in base rates over the last 15 months. Net investment income of $27.6 million or $0.48 per share, was up 30% versus the second quarter of 2022 and exceeded the second quarter dividend of $0.34 per share, following the $0.02 per share dividend increase announced last quarter. Today, we declared a third quarter dividend of $0.34 per share and a supplemental dividend of $0.10 per share. We remain committed to paying a sustainable dividend that is fully covered by net investment income regardless of the base rate environment, as we have done consistently over the last 11 plus years. Investment income for the second quarter was $0.93 per share. This included cash interest of $0.83, recurring discount and fee amortization of $0.01 and pick income of $0.07. While we did see an uptick in pick income in the second quarter, including $0.02 of one-time pick income, our recurring pick income remains in line with the average over our history. Investment income also included $0.02 of dividend income. As a reminder, we amortized upfront economics over the lack of an investment rather than recognizing all of it at the time the investment is made. Operating expenses for the second quarter were $0.35 per share and included interest and other debt expenses of $0.21 per share. Incentive fees in the quarter totaled $5.9 million or $0.10 per share. Net realized losses for the quarter were $395,000 or $0.01 per share. Net unrealized losses in the second quarter totaled $11 million or $0.19 per share, primarily reflecting mark to market impact on market quoted names. These included unrealized losses of $3.9 million in our investment in Astra Acquisition, a $3.4 million unrealized loss in Thras.io, and $2.2 million on our investment in Magenta, as well as a $3.4 million unrealized loss on our investment in Hylan. Unrealized losses were partially offset by a $6.3 million unrealized gains on our investment in secure. The net increase in net assets for the quarter was $16.3 million or $0.28 per share. As a reminder, we have a robust validation process and substantially all of our investments are valued every quarter using prices provided by independent third-party sources. These include quotation services and independent valuation services. And this process is also subject to rigorous oversight, including back testing of every disposition against our valuations. As Raj noted, the credit quality of our overall portfolio remains strong. Only two portfolio companies were of non-accrual status at the end of the second quarter, representing 0.3% of the portfolio at fair value and 0.5% on cost. Now turning to our liquidity. Our balance sheet positioning remains very strong, and we ended the quarter with total liquidity of $333 million relative to our total investments of $1.6 billion. This included available leverage of $210 million and cash of $123 million. Unfunded loan commitments to portfolio companies at quarter end equals 5% of total investments for approximately $90 million, of which only $35 million were revolver commitments. For diverse and flexible leverage program includes two low cost credit facilities, two unsecured no issuances, and an SBA program. In April, Fitch reaffirmed TCPC’s investment grade rating with a stable outlook. And our unsecured note – unsecured debt continues to be investment grade rated by both Fitch and Luis. Given the modest size of each of our debt issuances, we are not overly reliant on any single source of financing and our maturities remain well laddered. Additionally, we’re comfortable with our current mix of secure and unsecured financing and do not have any immediate financing needs. Combined, the weighted average interest rate on our outstanding borrowings increased modestly to 4.28%. This compares with 3.26% at the end of 2021. That is an increase of only 102 basis points over the last 18 months. While base rates increased approximately 504 basis points during that same period. This is the result of having over 70% of our borrowings from fixed rate sources. Now, I’ll turn a call back over to Raj.
Raj Vig: Thanks, Erik. Even as market volatility persists, we are confident in our proven strategy and approach to investing that has delivered stronger risk adjusted returns for our shareholders throughout different economic environments. We believe we have demonstrated a consistent ability to execute in both periods of economic growth and contraction. This also makes us a reliable partner for our borrowers and further helps us to attract appealing investment opportunities. With that operator, please open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from the line of Christopher Nolan from Ladenburg Thalmann. So please go ahead, Christopher. Your line is now open.
Christopher Nolan: Hey guys. Raj, discussing the deals that you guys walk away from, you made a comment that they’re not able to meet their terms and conditions. Has TCPC basically made their T&Cs tougher than before? Or is the company’s performance just weaker than just not making it?
Raj Vig: Thanks for the question, Chris. I wouldn’t say that we’ve made them tougher. I think categorically, we are focused on many of the same things. Unfortunately, that’s been a focus coming into this environment. And I would highlight those as real financial covenants. The documentation particularly, areas of leakage, payments out in front of us and things of that sort, and a lot of very targeted negative consents or things that, that, we want to have approval rights on are all focus items. I would say in some cases, the levels of those items has tightened up. So, between loan-to-value multiples percentage or buffer off of our targeted covenants, certainly things we’ve been tightening up. And in some cases it’s just a little more murkiness of the credit, where what we want and our targeting may not match up with what’s available. So, and all of this is in a context of, as Phil mentioned, just a lower deal environment overall. For us it’s never been about, just growing for the sake of growth. You’ve seen us have lower deployment quarters even in front – sort of more active environments, and I think that’s just one of the things that is a consequence of how we’re approaching the market. But I wouldn’t call it tougher or new items. I think it’s probably marginally tighter, in an environment of more uncertainty, needing more buffer. And I think the results are, good credit performance holding assets for longer probably, and in some cases or occasionally, a lower deployment, which is fine in this scheme of things.
Christopher Nolan: My follow up question is on value, please go ahead.
Phil Tseng: Sorry, Chris. I’ll just add that, our pass rate has always been quite high. We pass on 90% plus of our deals, so we’ve always been quite selective and we continue to be in this market environment. But I’d also add that, clearly for a lot of companies that are out there seeking financing a lot of it comes from M&A, and if you don’t need to be a seller in this environment and you can wait and you have the luxury of winning, then you should to get perhaps a higher valuation at some point later on, given the uncertainty in the environment and the impact on valuation multiples. So I think what we’re seeing is a lot of the highest quality assets are still on the sidelines. They haven’t transacted. So what we’re seeing in the market are folks that need to refinance or need to raise financing and sometimes, they might have more, a more complexity to their story. So we’re still trying to be selective, but that just gives a little bit of context for the type of flow we’re seeing.
Christopher Nolan: Great. And as a follow-up question turns on valuations. I was surprised to see the number of realize appreciation, excuse me, unrealized appreciation in the quarter, and it raises the question, since most investments in the BDC land tend to be some variation on discounted cash flow, what is the risk-free rate that your valuers use given that we have an inverted deal curve where short-term rates are higher than longer term rates? Because if you’re keying off short-term rates, which is what your investments key off of the valuations for a lot of these things should go down. I’m just trying to get a clarification.
Raj Vig: Yes, I’ll try to add some color and ultimately I think you’re highlighting the key point, which is this book is valued, almost just about entirely by third parties or in the case of market quotes, where the market quotes are available, which was more the driver of some of the unrealized losses. But as far as the valuation providers go, they typically are doing a triangulation of approaches. It’s not just a discounted market rate. There will be pressed in transactions particularly around M&A, and then there will be some public market comp applicability, and obviously there’s never a clean fit, but it’s really a combination of those two. But I think in terms of the market rate they’re using, it’ll vary. There will be a reference rate and then a kind of spread adjusted above that. They do try to take a longer term view on the discounted cash flows and whether they’re using three months SOFR or some forward curve adjustment in the forecasted rates will vary by provider. I guess from a point of view of the overall book, though, keep in mind we have taken some in earlier quarters, but there was more volatility and before a recovery in the equity markets, which has happened through this year, we have taken more of the mark downs. I would guess a part of it in this market is, more of what’s happening in the public market equity that has a knock on effect to their approach, but it will be valuation provider specific and ultimately done independently.
Christopher Nolan: Okay, thanks, Raj.
Phil Tseng: And Chris, I’ll add that as Raj noted, where we are doing fundamental valuations by the valuation providers, they are using market spreads. So whatever spreads they are seeing in the public markets is typically what they will use to discount the cash flows adjusted as needed and on one-off basis. And those were relatively flattish quarter-over-quarter the markdowns that you did see were more on the more traded loans that we hold where you do tend to send to see a little bit more volatility in markets like this.
Christopher Nolan: Thank you.
Operator: Thank you. Our next question today comes from the line of Robert Dodd from Raymond James. Please go ahead, Robert. Your line is now open.
Robert Dodd: Hi guys. A couple questions. First I got to ask on the dividend the $0.10 and I realize again, it’s, it’s a board decision, but the $0.10 special, would it be reasonable to assume, I mean, if we look at the forward curve, which is, as it stands today, coming down slowly or projected to come down slowly, your earnings could stay elevated for some time and generate earnings, well in excess of the base dividend. So should investors expect or anticipate maybe that that $0.10 special this quarter continues in future so long as earnings exceed the base dividend by a sizable margin? Or can you give us any color on how that’s being thought about?
Raj Vig: Yes. Thanks for the question, Robert, and I’m glad you’re joined by your – you cannot associate in the background. But let me provide a little color. And as you know, we are very focused on being prudent and disciplined around the dividend. I wouldn’t call us a fast mover in this regard, but very methodical and deliberate, but one where we are very focused on a sustainable dividend and even as spend, and the question is special or for dividend increase, I would argue, I would sort of highlight that we’ve done both and within the last get, call it for three quarters or four quarters. As far as a special goes, it’s, the way we thought about it was, it is a very effective way in one quarter to give more cash back than even an increase on an annualized basis. It does not, it does not force us to take a forward view, and as we’ve done that, we’ve taken a more cautious forward view, because as you point out, a lot of the historical benefit has been reference rate, which can come down, although it seems like it will stay a little elevated for longer. And then we are layering in our view of the credit book and the environment and we’ll be methodical, but gradual in how we take up the dividend as we have done in the last few quarters. So if everything is as is today, and we have this run rate, which has really benefited from underwriting and not impacted by a lot of credit issues. I think we will continue to assess, and look to reward our shareholders for that work and then determine the best way to do it. And do you have a couple of options whether it’s more immediate at one time or more on a run rate basis. And so I think rather than forecasting one or the other, I can – I would tell you that if we have this elevated return and things are on the credit side staying intact, then our board will continue to look at this and what’s most favorable for shareholders, and it will choose amongst those tools. It could be one, it could be both. And I think at the end of the day, it will be in the context of what’s most sustainable and not compromising your ability to pay the dividend from comfortably from a current run rate. And that’s a constant and quarterly assessment resulting fortunately in a fair bit of return back to the shareholders both through the increase in dividend and in this quarter pretty sizable, I think our most sizable historically one-time special dividend.
Robert Dodd: I appreciate that. Very helpful. Thank you. Then secondly, can – you mentioned, I mean, a couple of portfolio companies experiencing some slower growth, that one of your traded names did get called out by S&P as having some deterioration and may not have a sustainable capital structure without additional equity from sponsors. So in general across that, I mean, what are the, at the margin and there not a lot of names in that situation, but at the margin, how are the conversations with sponsors going on in without, being specific are they willing to step up and put the equity in, to tie these businesses over? Or how’s the negotiation on that front cover?
Phil Tseng: Yes, Robert, thanks for the question. This is Phil. So that’s a great question because clearly, it speaks to a number of things. One is the nature of where private equity sponsors are today with their portfolio and their willingness to protect their positions. But I think the other aspect of it is what protections do we have to bring these conversations to the table? We have – we’re seeing with our amendment activity a pickup largely because of the covenants that we have in place, and that really speaks to, I think, the benefit of how we’ve negotiated and structured our deals with these terms, because without these covenants naturally the only moment that you have to bring the sponsors to the table, perhaps a payment default. So we think by virtue of these covenants, we’re having these conversations. And what’s important when we structure these covenants is structuring at a level that, that implies there continues to be meaningful amount of equity value remaining. So long as there continues to be a good equity option there based on valuation and based on the prospects of the business, then we feel that the sponsor or whoever it is in the equity, whatever stakeholders there are, because it could be a family owned business or so on, that they’re actively engaged and willing to put up more equity. So every one of these amendment type negotiations are opportunities for us to de-risk our loan. Restructurings, as you know Robert don’t happen in vacuum. They happen over a series of events. And because we have these amendments and discussions, those are opportunities and events where we can try and de-risk our loan.
Robert Dodd: I appreciate that. Thank you.
Operator: Thank you. [Operator Instructions] Our next question today comes from the line of Ryan Lynch from KBW. Please go ahead, Ryan. Your line is now open.
Ryan Lynch: Hey, good morning. First question, I had is in your comments here, you talked about conducting a thorough review of your entire portfolio every quarter to kind of stay ahead of any potential issues. I would just love to get some more details on what that portfolio review sort of entails from your end.
Phil Tseng: Yes, thanks for the question. So what entails, first of all, we – our investment teams, as you know, are organized along industry number of industries that they specialize in. So we view our monitoring as not quarterly, necessarily, quarterly is just a formal, review process, but our monitoring is ongoing, continuous and continued vigilance over events that are going on in industries that our borrowers are in, the borrowers themselves, competitors, and so on. And that’s one of the real benefits of having that approach. So we’re always monitoring our portfolios closely. The quarterly portfolio review that includes discussions with management teams, discussions with stakeholders including the equity or other lenders as well really assessing the financial performance of the business using their financial reporting materials and also assessing what’s going on in the broader industry context and putting that together in a formal memorandum for our investment committee to review. And we do that across our entire portfolio. And one of the benefits it gives us is it gives us a lot of fanatic views. It gives, it allows us to put certain deals and borrowers into the broader industry context. We also are able to leverage the benefit of the broader BlackRock platform in terms of information. It’s helpful for us not just to monitor and a vacuum, our portfolio companies and maybe the middle market, private debt universe, but also the traded markets and the equity markets and we pull on resources from across the BlackRock platform to really make sure we’re informed across the entire industry where our borrowers operate in.
Ryan Lynch: Okay. That’s helpful and good color on that. Following up on one of Robert’s questions regarding the dividend, I understand that’s a board decision, but Raj, you’re the Chairman of the Board, so I’d love to hear what is either your opinion or the board’s, if you can speak for the board’s opinion on what is the hesitancy for increasing the dividend closer to, what kind of the core earnings power of TCPCs businesses today, given where current base rates are, and then if base rates end up changing and going down, which they will obviously at some point reducing the dividend to match the current environment of base rates, what’s the hesitancy to kind of not pay out the, near close to the earnings power of the business and then adjust it depending on what base rates do over, long periods of time?
Raj Vig: That’s a good question. I – maybe that is an ultimate question. And I guess what I would say is it is, I wouldn’t call it a hesitancy. Our intent and our desire is to reward shareholders as much as possible in efficient and, but also manner that maintains, their confidence in us. Part of that is the answer to your question, which is keep in mind, these earnings have moved positively and in some cases very quickly, and we’re talking about a 30% year-over-year increase in our NII that will, that pace is certainly ahead of our deliberate approach to, we wouldn’t just match it at that pace. And then at an elevated risk of taking it down, because I do believe the volatility in doing that, even though logically it sounds like, like, easy to just match the run rate or the earnings power. I think the frequency of change in that and I may be wrong on this, but I would say I think the frequency of change in that can undermine that confidence. And whether that means you are now operating at a higher required cost of capital or you’re not getting the reward for the dividend stability. It is obviously debatable. It feels to us like our shareholders, and we hear this from, many of them, like the confidence in our dividend being covered if we’ve done it every quarter since we’ve been public. I’m not sure everyone can say that. And what we try to do is we try to not be overly cumbersome and slow, but very deliberate. And moving back up to those levels, we’ve seen you know more dividend increases in the last year than we’ve had, in over a, maybe a decade. I think that trend, as we have the ability to really be predictive on the business, those discussions will obviously continue. But the answer to your question, and along the way is we don’t want to invite unnecessary or undue volatility in the perception of our dividend versus reinforcing the quality of that dividend and the value of it with, less volatility, which means we’d rather just take it up and keep it up versus taking it up and down, towards something that approaches a little more of a whimsical approach. And that’s just our philosophy. I don’t want to, or my philosophy, and I don’t want to speak for anyone individual on the board these discussions happen actively, but hopefully that gives you a little more color on how we think about it. And we do have these discussions very actively in this environment because the performance is notable as you highlight
Ryan Lynch: Yep. No, that’s helpful. I understand the reasoning behind it. That’s all from me. I appreciate the time today.
Phil Tseng: Thank you.
Raj Vig: Thank you.
Operator: Thank you. There are currently no additional questions waiting, so I’d like to pass the call back over to Raj Vig for any closing remarks.
Raj Vig: Thank you. We appreciate your participation on today’s call. I would like to thank our team for all of the continued hard work and dedication. I would also like to thank our shareholders and our capital partners for your confidence and your continued support. Thanks for joining us. This concludes today’s call.